Operator: Hello, and thank you for standing by. My name is Mark, and I will be your conference operator today. At this time, I would like to welcome everyone to the DXP Enterprises, Inc. Third Quarter 2025 Earnings Release. [Operator Instructions] Now I would like to turn the call over to our CFO, Kent Yee. Please go ahead.
Kent Yee: Thank you, Mark, and thank you, everyone, for joining us today. This is Kent Yee, and welcome to DXP's Q3 2025 Conference Call to discuss our results for the third quarter ending September 30, 2025. Joining me today is our Chairman and CEO, David Little. Before we get started, I want to remind you that today's call is being webcast and recorded and includes forward-looking statements. Actual results may differ materially from those contemplated by these forward-looking statements. A detailed discussion of the many factors that we believe may have a material effect on our business on an ongoing basis are contained in our SEC filings. DXP assumes no obligation to update that information as a result of new information or future events. During this call, we may present both GAAP and non-GAAP financial measures. A reconciliation of GAAP to non-GAAP measures is included in our earnings press release. The press release and an accompanying investor presentation are now available on our website at ir.dxpe.com. I will now turn the call over to David Little, our Chairman and CEO, to provide his thoughts and a summary of our third quarter performance and financial results. David?
David Little: Thanks, Kent, and thanks to everyone on our 2025 third quarter conference call. Kent will take you through the key financial details after my remarks. After our prepared comments, we will open for Q&A. It is my privilege to share DXP's third quarter results with you on behalf of over 3,234 DXPeople. Congratulations to all our stakeholders and a special thank you to our DXPeople you can trust. We are pleased to see end market demand and DXP's performance continue through Q3 and remain at record levels as we move into the last quarter of 2025. This allows us to achieve another quarter of both solid sales growth and 11% adjusted EBITDA margins. We are pleased to announce strong third quarter results with sales, operating income and earnings per share all up over the prior year. This is a great way to start the second half of fiscal 2025. We remain focused on serving our customers, providing products and services that help them save money, consolidate their MRO spend, manage inventory and provide solutions to solve their ever evolving needs. Being customer-driven and growing sales profitably is our goal. We continue to focus on driving organic and acquisition growth, increasing gross profit margins and increasing productivity. Our execution has resulted in fiscal 2024 and 2025 top line and bottom line growth, both organically and through acquisitions. That said, our growth strategies are working, and our acquisition pipeline should add to our results as we close out the fiscal year 2025 and go into the fiscal year 2026. We continue to be excited about the future, delivering a differentiated customer experience, creating an engaging winning culture for DXPeople, and investing in our business to strengthen our core capabilities and drive long-term growth. Year-to-date through September 30, total sales are up 11.8% and adjusted EBITDA is up 17.6%. Last 12 month sales and adjusted EBITDA were $1.6 billion and $217.1 million, respectively, with adjusted EBITDA margins of 11.1%. Moving to our third quarter results. Total DXP revenue was $513.7 million, an 8.6% increase year-over-year with adjusted EBITDA of $56.5 million. In terms of Q3 financial results from segment perspective, Innovative Pumping Solutions led the way, growing sales 11.9% year-over-year to $100.6 million, followed by our Service Centers growing sales 10.5% year-over-year to $350.2 million. Supply Chain Services declined 5% year-over-year to $63 million. In terms of IPS, our Innovative Pumping solution, it bears repeating that we have 2 broad businesses tied to capital budgets or project work, DXP's heritage energy-related project work and DXP Water. Year-to-date, DXP Water is 54% of IPS' sales versus last year at this time, it was 47%. As we grow -- have grown our DXP Water platform, we have increased both gross margins and operating income margins for the IPS segment and for DXP. Our energy-related bookings and backlog continues to show resilience and perform above our long-term averages, albeit not an all-time high. Additionally, our year-to-date average remains above our long-term average energy IPS backlog going back to 2015. What this indicates is that we continue to feel good at this point in the cycle on energy and water and wastewater-related project work. As we have been discussing on previous earnings calls, we have booked a few large projects in both energy and water that have been recognized some of the revenues in 2025 and will continue in 2026. We are quoting a lot of opportunities and working hard to convert quotes to bookings. That said, DXP's focus within IPS will be to continue to manage the demand levels we have plus finding opportunities in all markets such as energy, biofuels, food and beverage and water and wastewater and manage pricing and delivery while improving and maintaining margins. In terms of Service Centers, the diversity of end markets, multiple product division approach, service and repair and our MRO nature within Service Centers allows us to continue to remain resilient and to continue to experience consistent top line year-over-year growth. A few growth initiatives that are helping DXP grow percentages at over the last several years is technical products like automation, vacuum pumps, new pump brands for water and industrial markets, process equipment and filtration. New markets like water, air compression and data centers need pumps. They need water, power, cooling and filtration. We have added an e-commerce channel for the generation that wants to buy pumps and parts electronically. The service nature within Service Centers allows us to continue to remain resilient and continue to experience consistent sales performance and continue to find ways to add value for our customers. From a regional perspective, regions that continue to experience year-over-year growth includes South Central, California, Southeast, South Rockies, Texas Gulf Coast and Northern Rockies. We have also seen strength in our air compressor, metalworking and U.S. Safety Services division, which is also great to see. Supply Chain Services sales decreased 3.7% sequentially and year-over-year declined to $63 million. In the Supply Chain Services, all pricing is electronics, so flow to improve processes and price increases and inflation and tariffs take longer to implement. That said, SCS is adding several new customers and are currently -- they are being implemented. Historically, the latter half of the year is impacted by the holiday season and there being fewer billing days with SCS and also being subject to the customers' facility closures and holiday hours, thus, we expect mild Q4 and stronger outlook as we close out Q1 of 2026. Demand for SCS services is increasing because of the proven technology, efficiency they perform for all of their industrial customers, and we expect a strong year in 2026. DXP's overall gross profit margins for the third quarter were 31.4%, a 50 basis point improvement over 2024. Overall, I am pleased with our gross margins and our steady improvement over the last 2 years. SG&A for the third quarter increased $11 million versus Q3 of 2024. SG&A as a percent of sales increased going from 22.5% in Q3 of 2024 to 22.9% in Q3 of 2025. SG&A continues to reflect our investment in our people, increasing insurance renewals, technology investments, acquisition support and other growth strategies. As always, it is our privilege to share DXP's financial results on behalf of all our DXPeople. DXP's overall operating income margin was 8.5% or $43.7 million, which includes corporate expenses and amortization. This reflects a 14 basis point increase in margins versus Q3 of '24. We still feel there is opportunity in our operations to be more efficient, but we have chosen to invest in the business via people and our operations, and we have been focused on growth. Overall, DXP produced adjusted EBITDA of $65.5 million in the third quarter of 2025 versus $52.6 million in the same period of 2024. Adjusted EBITDA as a percent of sales was 11% for the third quarter. I am pleased with our performance in the third quarter. DXPeople continue to make great efforts and adapt as we grow and evolve DXP into a more diversified and less cyclical business. We call that the next chapter. We still have substantial work to do to achieve our efficiency goals, but I am confident that the team will continue to execute and drive sales and profitability. We are growing sales more than the market and expect that into the near future. We continue to make progress on our growth strategies and our commitments to our customers is strong. We are driving growth and improvements at DXP, and we look forward to navigating and working through the remainder of fiscal 2025. To continue to build our capabilities to provide a technical set of products and services in all of our markets, which makes DXP very unique in our industry and gives us more ways to help our customers win. Finally, I would like to thank our DXPeople for continuing to maintain 11% plus EBITDA margins, hitting a new quarter sales high in Q3. Q3 was another great quarter as we continue to have a successful year in 2025. We remain excited about the next chapter. And with that, I'm going to turn it over to Ken.
Kent Yee: Thank you, David, and thank you to everyone for joining us for our review of our third quarter 2025 financial results. Q3 financial performance reflects DXP's ability to continue to successfully navigate through the market and execute and create value for all our stakeholders. Our third quarter results also reflect another new record sales watermark. As it pertains specifically to our third quarter, DXP's third quarter financial results reflect solid sales growth within IPS along with an accelerating contribution from DXP Water, record Service Center performance marked by gross margin strength and stability and a pickup in sales performance from Q2 to Q3 2025, consistent consolidated gross margin performance with year-to-date margins up 89 basis points versus last year, continued contribution from acquisitions with sales year-to-date of $74.1 million and consistent operating leverage leading to sustained 11% plus adjusted EBITDA margins. Total sales for the third quarter increased 8.6% year-over-year to a record $513.7 million and 3% compared to Q2. Acquisitions that have been with DXP for less than a year contributed $18.4 million in sales during the quarter. Average daily sales for the third quarter were $8 million per day versus $7.92 million per day in Q2 and $7.39 million per day in Q3 of 2024. Adjusting for acquisitions, average daily organic sales were $7.74 million per day for the third quarter of 2025 versus $6.95 million per day during the third quarter of 2024. That said, the average daily sales trends during the quarter went from $7.26 million per day in July to $8.9 million per day in September, reflecting a normal push in the last month of the quarter. In terms of our business segments, Innovative Pumping Solutions sales grew 11.9% year-over-year and 7.5% sequentially. This was followed by Service Center sales growing 10.5% year-over-year and 3.1% sequentially. Supply Chain Services sales declined 3.7% sequentially and 5% year-over-year. In terms of Innovative Pumping Solutions, we continue to experience strong backlogs in both our energy and water and wastewater businesses. Our Q3 energy-related average backlog declined 3.3%. This is our first decline in the backlog in 10 quarters, but continues to be ahead of all our averages. As David mentioned, and as we have been discussing on previous earnings calls, we have booked a few large projects in both energy and water that we have recognized some revenue in 2025 and will continue into 2026. We will be looking to see what happens to our Q4 2025 and Q1 2026 average backlog. The conclusion continues to remain that we are trending meaningfully above all notable sales levels based upon where our backlog stands today. To provide a broader perspective, on a 9-month comparative basis, our native energy IPS backlog is up 56.2% year-over-year. We expect this to continue throughout 2025. We also see strength in our IPS water backlog as it continues to grow due to a combination of organic and acquisition additions. DXP Water's average backlog is up 7% compared to Q2. In terms of our Service Centers, our Service Center performance reflects our internal growth initiatives along with our diversified and evolving end market dynamics. On a comparative basis, our third quarter of 2025 is now our strongest quarter within Service Centers over the last 10 quarters and sets a new sales high watermark. Regions within our Service Center business segment, which experienced year-over-year sales growth in South Central, California, Southeast, North and South Rockies and the Texas Gulf Coast. From a product perspective, we also experienced strength in our air compressors and U.S. Safety Services divisions. Supply Chain Services sales performance reflects a 3.7% decrease sequentially and 5% decline year-over-year. Supply Chain Services third quarter sales performance reflects pullback in activity at oil and gas and our diversified chemical customer sites. Overall, we experienced reduced spending from existing customers by continuing to drive efficiencies and streamline purchasing that we bring to our new customers. Going into Q4, we expect the next quarter to be impacted by seasonality with there being fewer billing days as SCS customers have facility closures and holiday hours. Thus, we expect a mild Q4 and stronger outlook as we close out Q1 of 2026. However, interest and demand for SCS services is increasing because of the proven technology and efficiencies they perform for all their industrial customers, and we expect a stronger 2026. Turning to our gross margins. DXP's total gross margins were 31.39%, a 50 basis point improvement over Q3 of 2024. This improvement is attributed to strength in gross profit margins within Service Centers with a 117 basis point improvement from Q3 of last year. Additionally, the accretive contribution from acquisitions at a higher overall relative gross margin versus our base DXP business helped drive consistent gross margins within consolidated DXPE. Acquisitions continue to be accretive to both our gross and operating margins. That said, from a segment mix sales contribution, Service Centers contributed 68.16%; Innovative Pumping Solutions, 19.57%; and Supply Chain Services was 12.26%. This sales mix positively impacts our gross margins as we see an uptick in contribution from IPS. In terms of operating income, Service Centers, IPS and Supply Chain Services each had 14.6%, 18.3% and 8.4% operating income margins, respectively. The consistency in Innovative Pumping Solutions reflects the impact of our water and wastewater acquisitions at a higher relative operating income margin and a growing percentage of revenue in our sales mix. DXP Water has gone from 28% of year-to-date sales in Q1 of 2023 to over 54% of year-to-date sales of IPS at the end of the third quarter of 2025. Total DXP operating income was $43.7 million in the third quarter or 8.5% of sales versus $39.6 million or 8.37% of sales in the third quarter of 2024. Our SG&A for the quarter increased $11 million from Q3 2024 and $5.7 million from Q2 of this year to $117.6 million. The increase reflects the growth in the business and associated incentive compensation and DXP investing in its people through merit and pay raises. Additionally, this also reflects an increase in our insurance premiums, which we changed our renewal from a calendar year to midyear renewal, continued investments in technology and our facilities as well as acquisition costs and growth initiatives. SG&A as a percentage of sales increased 36 basis points year-over-year to 22.88% of sales and was up slightly or 46 basis points sequentially from Q2 of this year. Turning to EBITDA. Q3 2025 adjusted EBITDA was $56.5 million. Adjusted EBITDA margins were 11%. We continue to benefit from the fixed cost SG&A leverage we experienced as we grow sales. This translated into 1.5x operating leverage. In terms of EPS, our net income for Q3 was $21.6 million. Our earnings per diluted share for Q3 2025 was $1.31 per share versus $1.27 per share last year. Adjusting for onetime items, adjusted earnings per diluted share for Q3 2025 was $1.34 per share. Turning to the balance sheet and cash flow. In terms of working capital, our working capital increased $15.6 million from June and $73.6 million from December to $364.5 million. As a percentage of last 12 months sales, this amounted to 18.6%. This is an uptick from where we have been and reflects the impact of acquisitions and an increase in DXP's capital project work. As we move into fiscal 2026, we will continue to grow into the working capital as a percentage of sales, and particularly the impact from recent acquisitions. In terms of cash, we had $123.8 million in cash on the balance sheet as of September 30. This is an increase of $9.5 million compared to the end of Q1 and reflects our ability to produce free cash flow while managing growth capital expenditures and remaining acquisitive. In terms of CapEx, CapEx in the third quarter was $6.8 million or a decrease of $3.6 million compared to Q2 and a $2.8 million increase versus Q3 of last year. We are continuing to make investments in our business, software, our facilities and operations for our employees. As we move forward, we will continue to invest in the business as we focus on growth. That said, as mentioned during the second quarter, over the short to medium term over the next 1 to 2 quarters, we should see CapEx lessen and we look for it to be less in 2026. Turning to free cash flow. Free cash flow for the third quarter was $28.2 million versus $24.4 million in Q3 of 2024. This does reflect improvements in profitability along with elevated CapEx, which is primarily growth-oriented and highly controllable. Additionally, we continue to focus on tightly managing our capital projects, which we see as an opportunity to further generate and optimize cash flow. We have highlighted this in the past as requiring investments in inventory, product and costs in excess of billings. That said, we continue to focus on tightly managing this aspect of our business from a cash flow perspective and look to align billings with the investments. Return on invested capital, or ROIC at the end of the third quarter was 33% and continues to be measurably above our cost of capital and reflects the improvements in EBITDA and the operating leverage inherent within the business. Additionally, also, it points to our recent acquisitions performance and their positive contribution and accretive impact to both gross profit and EBITDA. As of September 30, our fixed charge coverage ratio was 2.2:1, and our secured leverage ratio was 2.3:1 with a covenant EBITDA for the last 12 months of $225.1 million. Total debt outstanding on September 30 was $644 million. In terms of liquidity, as of the third quarter, we were undrawn on our ABL with $31.6 million in letters of credit with $153.4 million of availability and liquidity of $277.3 million, including $123.8 million in cash. In terms of acquisitions, we have closed 5 acquisitions year-to-date, including 2 subsequent to the quarter end, and we will look to close a minimum another 3 before the end of the first quarter. DXP's acquisition pipeline continues to remain active and robust, and the market continues to present compelling opportunities. That said, we remain comfortable with our ability to execute on our pipeline and valuations continue to remain reasonable. In summary, we are excited about the future and building the next chapter. We will keep our eyes focused on those things we can control and what is ahead of us. We are excited because there is still substantial value embedded in DXP. Now I will turn the call over for questions.
Operator: And your first question comes from the line of Zach Marriott with Stephens.
Zachary Marriott: So sorry, I missed the daily sales number for June. If you could just quickly walk through Q3 again? And then any color you could share on Q4 thus far?
Kent Yee: Yes. No, absolutely. I'll just walk through each month in Q3 and then kind of give you our flash look at October for Q4. July was $7.26 million per day, August, $7.95 million per day, September $8.9 million per day and October was $7.59 million per day.
Zachary Marriott: Much appreciated. Looking at EBITDA margins, the last 2 years, there was a little compression in the margin percentage from 3Q to 4Q. Is it fair to expect something similar this year in 4Q '25?
Kent Yee: Yes. Zach, actually, I think last year, which may have been the first time, we started going above 10% EBITDA margins really, really in Q2, Q3 and in Q4 of last year. So point being is I think, big picture, we've said it on the last couple of earnings calls, but that we feel plenty comfortable with 11%. Yes, there may be quarters where it's 11.2%, 11.4%. But really, we're trending now, I'll call it, at a sustainable 11% plus for now. As we move into 2026 and we continue to get more acquisitions and particularly in the water space, we may adjust that. But right now, the 11% is sustainable. So hopefully, that answers your question around Q4. Q4 is a lighter, though, I think that's your point, is lighter from the number of days in the quarter due to holidays, Thanksgiving and Christmas here in the U.S. and Boxing Day, if you will, in Canada. But we still expect from a profitability perspective to be our mix to kind of get us to that 11%.
Zachary Marriott: Understood. That's responsive. And then corporate expenses aren't something we talk about too much, but there has been some variability just worth asking about today. The Q3 number you just reported was just under $26 million. Is that a fair proxy for what we should assume going forward? And what might bias that number higher or lower as you move through the coming quarters?
Kent Yee: Yes. So there was a couple of unique things in there that I think David and I both called out in our scripts. One, we just -- and this is the first year, we flipped our insurance renewal from a calendar year to a midyear. And so that created July as when you're paying all the premiums, a little bit of an elevated level. On top of that, from an insurance perspective, no different than any other company, our insurance overall premiums have gone up slightly. So that's what you're seeing from July going forward, if you will. And so in Q4, I think you will see from a percentage basis, very similar. The other thing we experienced was just higher -- we're self-insured and we play on a claims basis from a health insurance perspective, and we had some unique claims come through, if you will, in Q3. That I can't forecast right now whether that will happen in Q4 or not, but that created an elevated level of cost, if you will, that's flowing through that corporate SG&A number. And then once again, we're acquisitive, as everyone knows. And so just more so timing than anything else, but we've been busy here, if you will, in Q3 from an acquisition standpoint. So our professional fees, if you will, and costs kind of were elevated here in Q3. That will continue. We have a very robust pipeline, but that will continue in Q4 and into Q1 for sure, just given our pipeline from an acquisition standpoint. So hopefully, that gives you additional color there on that SG&A line.
Zachary Marriott: Last one for me. Can you please touch on any data center exposure or opportunities you guys may have?
David Little: Sure. I'll take that. We're looking at a lot of different avenues based on the products that we represent. So we represent pumps, we represent water, represent filtration. And so all these data centers are -- and we also represent power and equipment that handles gas and other things. So we have an opportunity there. We're trying to do best we can to figure out how to tap into that market. We are getting a little bit here and there, but it's not been a big market for us. We feel like it can be from -- and so we're attacking it pretty hard. It's pretty diversified across the country. So trying to get on top of all the projects and trying to get some credibility, I guess, with the fact that we can do a lot of things is what we're doing. But really, at this point, I'm going to tell you that it's not been a big win for us. And yet, I think it's a great opportunity.
Operator: There is no further questions at this time. I will now turn the call back over to David Little for closing remarks. David?
David Little: Yes. First, let me thank all our DXPeople for certainly setting record sales. I think that's awesome. I think as we manage the company, the hardest thing we do is satisfy customers and get bookings and sales. So expenses, they were a little surprising, but they were really for all the right reasons and for the things that are necessary for us to be a growth-oriented company. So I'm not concerned about that. There's nothing really broken about DXP where we add acquisitions, expenses and the dollars are certainly going up, but it was a little concerning that the expense percentage went up. So -- so we're not crazy about that, but it's certainly a lot easier to fix than sales. I also want to thank our suppliers. It seems like they're doing a much better job with deliveries, and they're trying to manage their costs the best they can and keep us competitive in the marketplace. And we pass on those increases, but -- and that seems to be working all right. I'm pretty proud of the fact that we've got our gross profit margins up slightly and maybe a better statement is they're certainly holding. So I feel good about that. Of course, thanks to our shareholders and thanks for everybody supporting DXP. In summary, I think you can just say, well, we just had record sales. Gross profit margins are good and holding. Expenses were a little higher than expected, but they were for all the right reasons. Free cash flow improved at $28.2 million, which is great. We continue to hit adjusted EBITDA margins of 11%. We're excited about that. If we have any negatives, it would be a little bit in the booking side and that we trace that back to kind of our smaller piece of oil and gas that we have today. That market is still struggling as far as growth is concerned. And -- but they tell me even there that quoting activity is up and doing well, and we just got to get from the quote to the bookings. But anyway, so we're not concerned about any particular markets. We're not concerned about tariffs. We're not concerned about our government as it affects DXP. And so we feel good about our future. And so thank you for joining our call today, and we look forward to talking to you next quarter. Thanks.
Operator: That concludes today's call. You may now disconnect.